Operator: [Abrupt start] We acquired this Chattanooga based insurance agency during the quarter and are very excited to merge it into our existing platform. This agency has a great business line focused on the trucking and transportation insurance business. As many of y'all know, we have some great ties into that industry, particularly with Miller's background and experience and we're very excited to create some synergies to grow this speed generating business line. Before I turn it over, just a couple of other notes. Both new markets and legacy markets are all performing very well. We just opened their Birmingham Alabama office and our Brentwood Franklin office in the national MSA is slated to open in Q4. Our team from Fountain Equipment Finance is having an outstanding year. We have almost doubled the size of that balance sheet since acquiring this equipment finance group a couple of years ago and we have some great momentum there. We have a number of things going very well in their company, so let me go ahead and turn it over to Rhett walk through the balance sheet and credit, and Ron will then provide some additional details on the income and expense side Rhett.
Rhett Jordan: Thank you, Billy. As Billy mentioned earlier, solid loan growth continued through third quarter with period-over-period net organic loans and leases growing at a 15% annualized pace, excluding PPP loans. As you can see on Slide 6, loan and lease balances outstanding grew over $105 million for the quarter putting the portfolio total just over $3 billion. quarterly production was very evenly spread across our footprint markets. Well diversified toward our target portfolio segments in the evenly split between fixed and variable rate products. Deposits were flat quarter over quarter with net balances of just over $4 billion and average deposit costs from 45 basis points. Combination of these factors resulted in a 72% loan to deposit ratio. The loan portfolio mix has continued to be very stable as shown on Slide 7. While most economic outlooks and market guidance continue to indicate a higher probability of recession driven by inflationary pressure and corresponding interest rate increases over the next several quarters, our market areas continue to show some solid economic results and our business clients are continuing to relay positive outlooks to our lending teams for their near term guidance. Interest rates on loan production and renewals are beginning to see some gradual increases, as Billy mentioned earlier, with market based rates continuing to move upward due to fed funds direction and corresponding term rates responding accordingly. Given that near term directional expectation, we're still cautiously optimistic for continued growth opportunities in the loan portfolio over the next couple of quarters. As the next slide indicates, our portfolio credit quality continues to be extremely strong as it has been all year, but given challenging economic outlooks, we've taken some additional steps over the last few months to refresh our lending teams on those key conservative underwriting factors that have allowed us to maintain these extremely strong portfolio performance results for such an extended timeframe. Our breadth of interest rate stress analysis, strong cash equity requirements and limited exposure growth to industry segments with weaker economic outlooks have always been core essential components of our lending approach, and they're essential in this challenging time to protect our historically top tier credit quality performance. As I noted previously looking at Slide 8, it shows third quarter reflecting continued strong and stable performance across our core asset quality metrics. Non-performing assets to total assets past due loans, the total loans and classified loans to total loans are all improved quarter-over-quarter. Our CRE ratios were stable to prior quarter end as well with total CRE holding at 303% of capital. We did have a slight 9% increase in the CRE construction ratio that ended the quarter right at the regulatory guidance target due predominantly to continued funding on active construction projects. As noted in prior calls, we've historically managed our CRE portfolio in the upper end of the ratio guidance and continued to feel very comfortable doing so given the credit profiles of our CRE book and our historically conservative underwriting in that space. Our loan pipeline continues to be solid and evenly distributed across all our market areas with a significant portion of these opportunities being non-CRE in nature. Overall, our 2022 year-to-date loan production and credit quality have been strong results and we are still cautiously optimistic in our outlook as we close out the year. Now I'll turn it over to Ron to walk you through our allowance positioning. Ron?
Ron Gorczynski: Thanks Rhett and good morning, everyone. Let's move forward to Slide 9, our loan loss reserve. As Rhett covered much of our credit stats, I would like to add that during the quarter, we recorded $974,000 provision related to strong loan growth with minimal credit related provisioning. At quarter end, our allowance originated loans and leases was at 75 basis points and our total reserves, the total loans and leases was at 1.2%. Onto Slide 10, we utilized over a $100 hundred million of excess cash to fund our new loan production. As previously mentioned, our loan to the deposit ratio increased to 72% and our overall liquidity position, which includes cash and securities, represented approximately 28% of total assets giving us much flexibility to fund future loan growth. Our third quarter net margin was 3.29%, a 21 basis point quarter-over-quarter expansion, despite having a reduction of $580,000 related to PPP and acquired loan accretion. During the period, our interest earning asset yield increased by 40 basis points outpacing the 28 basis point increase in our funding costs. While rising rates at these pressure on our margin, we still experience approximately 12 basis points of compression as a result of our strong liquidity position. For the quarter, our yield on our loan portfolio, less loan increasing in PPP fees increased 28 basis points to 4.55% with the September loan portfolio yield of 4.66%. Our interest bearing deposit costs for the quarter increased 29 basis points to 0.62% with September deposit cost of 0.76%. Noteworthy this quarter was a significant increase in deposit competition across our footprint, which also contributed to our deposit beta acceleration. As the September 30, our deposit beta was roughly 15% since March, and we are estimating our deposit beta to be around 25% for the fourth quarter. As mentioned during our last earnings call, we'll be judicious in our approach to raising deposit pricing; however, not at the expense of losing good relationships. For the fourth quarter, we are forecasting our margin to be in a 3.40% range included in our margin forecast is estimated loan accretion of four basis points or approximately $320,000. Further, our operating revenue increased $2.7 million for an annualized quarter-over-quarter increase of over 26% in spite of the revenue headwind space related to reduced acquired loan, PPP fee and mortgage banking income, which in aggregate totalled $481,000 compared to $5.6 million for the same prior year period. We're extremely proud of our smart bank associates to not only offset these differences but grow our quarterly revenue to a company record of approximately $43 million. On Slide 11, you'll find some of our interest rate sensitivity information. With the sharp rise in interest rates and the deployment of some of our cash liquidity during the quarter, our balance sheet has shifted from a modestly asset sensitive to slightly asset sensitive position. We are expecting further increases in short-term rates to have a positive impact in our net interest margin and net income, but will be more muted as we approach a more neutral asset sensitivity position. Currently, we have $1.2 billion available rate loans with $668 million resetting almost immediately. The remainder of the floating rate loans would reset over specified time period with $77 million resetting radically over 2023. On Slide 12, non-interest income was $6.3 million, a decrease from the $7.2 million reported from the prior quarter. We continued focusing on our stated goals of building core reoccurring fee income streams. To that end service charges increased over $165,000, primarily as a result of an enhanced treasury management fee structure, which was implemented during the quarter. We also saw positive momentum in our wealth, insurance and equipment leasing divisions, which collectively generated almost $2.2 million in non-interest income for the quarter. We will further enhance our non-interest income generation going forward with our Sunbelt acquisition. We did face expected challenges during the quarter recording $800,000 less revenue from our capital markets team and weaker gain on sale income from our mortgage banking department. While our mortgage banking production has remained relatively consistent over the past several quarters, our production of secondary market loans has significantly declined. For the quarter, we had only 9% of our volume sold into the secondary market compared to 66% for the same prior year period. As rates continue to rise and adjustable rate products become more attractive, we expect this trend to persist as we journey through this rate environment. Our non-interest income forecast for the fourth quarter is in the $6.7 million range. On to Slide 13, currently, our operating efficiency ratio was at 63%, representing our continued efforts in creating operating efficiencies while focus on expense management. We expect our efficiency ratio to continue its steady decline as we further leverage our platform and further scale our business. Our operating non-interest expenses were $27.1 million, an increase of $1.3 million from the prior quarter. The majority of this increase was related to higher incentive accruals as our production team members continue to outpace expectations and to a lesser extent the additional salary expense related to the acquisition of Sunbelt Insurance, but we also experience an increase in occupancy and equipment driven by higher utility expense and new market branch expansion initiatives. We will continue to experience ebbs and flows and various expense categories as we invest in our people and platform. For the fourth quarter, we are forecasting and expense run rate of $27.3 million range with salary and benefit expense of approximately $16.5 million On to Slide 14, capital. Although our capital benefited from our strong earnings and were able to accommodate a majority of our current loan growth, we did experience a slight downward movement in our capital ratios primarily attributable to our Sunbelt insurance purchase and the associated goodwill created from the transaction. Moving forward, given our loan pipeline and earnings momentum, we anticipate building capital at a rate sufficient to fund future growth and build capital ratios. At quarter end, our tangible book value was $18.02 per share. However, excluding the temporary impact of our unrealized security losses, our tangible book value was $20.43 per share representing a quarter-over-quarter increase of 5.6% and a five-year compound annualized growth rate of almost 9%. With that said, I'll turn it back over to Billy.
Billy Carroll: Thank you, Ron. As you can hear, we're really starting to hit a nice stride in this company. Ron had mentioned some of our guidance and we continue to feel that we're positioned very well, even with some possible slowing due to rate increases. We can continue to grow by capitalizing on the investment we've made recently in new markets, new business lines and technology. I feel our loan growth outlook is still solid. Our Q4 pipeline is good. And I do feel even though I do feel loan growth will ease a little moving forward, we should still be able to grow at a nice pace. We grew it at 15% pace this quarter, probably look into somewhere in the higher single digits, maybe a little better than that over the next couple of quarters. We are continuing conversations to add talent to our team, adding several folks in recent weeks and we're in discussion with several others. So the hiring the hiring momentum that we picked up last year, we see that continuing as we look ahead into the coming quarters. We also want to just say a quick thank you as we close out to date our SMB, our whole SMBK team. Many of those folks listen to these calls. We always talk about the numbers on these calls and I don't want to overlook the phenomenal culture that we are building. I do think we will continue to differentiate with that culture in our markets and it's our team members that make that happen. So thank you. It continues to be a great time to be involved in this company and we will stop there and open it up for questions.
Billy Carroll: All right. We'll just wait a minute and maybe this operator will come up with you up the questions for us. Folks listening, just bear with us. Feddie, it looks like you're first in the queue, but I don't…
Operator:
Q - Feddie Strickland: Yeah, this is Feddie. Can you hear me?
Billy Carroll: Yes, go ahead. Thank you.
Feddie Strickland: Okay. This, I wasn't sure if they cued me up or not. How are you guys doing this morning?
Billy Carroll: We're good. Thank you.
Feddie Strickland: Was just curious, we talked a little bit about the opportunities in Nashville. I know you guys have an LBO there. I was just wondering if you could speak to how much opportunity you think you have in Nashville and whether there's any plans to expand your presence in that market.
Billy Carroll: Yes. Feddie, it is. As I said, we're opening our Brentwood Franklin office here this quarter. Excited about what we've seen with the team that we have on the ground that we added this last year, really just to start to see some momentum going. We do. We think there's obviously one of the best markets in the country. I don't think there's any doubt about that. Obviously, competitive as all good markets are. But we do feel like, again, kind of going back to my commentary on culture, we have demonstrated our ability to add some really good revenue producers to our company over the last little bit. We think we can do that. Again, we wanted this year to really digest what we bid off at the end of last year, first part of this year. as we are doing that now, we're really starting to look a little harder. Excited about the opportunities to expand that market and think that's something that we can do over the next year.
Miller Welborn: So we played around with it for the last couple of years in Murphysboro, and that's been an incredibly strong market for us. Great people there, and we think we can lean in on it a little bit further. .
Feddie Strickland: Got it. That makes sense. And just -- I think I already know the answer to this, but I'll ask it anyway. As we look towards future growth, that's going to primarily come from building out market share in existing markets, right? You're not really looking at expanding beyond your current footprint right now.
Billy Carroll: That's correct, Feddie. We're not looking to go to any other markets outside of the kind of the regions that we're in. you always look for -- we're always opportunistic, but really, there's nothing strategically that we're looking at now kind of outside the zones where we are. We think there's between Nashvilles, Birmingham and other markets in these great new Alabama MSAs that we entered as well last year. There's a ton of opportunity there. So that's probably where Focus 1A is going to be, but always opportunistic if something comes up. But that's SP-3 Our focus is going to be existing zones.
Miller Welborn: Yes. We always look upstream and downstream. I will say, it's interesting. We've talked a little bit about this potential AOCI impact on these banks that are $1 billion in lower I do think that's a potential negative impact to capital on some of these guys been deploying that liquidity into those securities portfolios. And if that comes to here, hopefully not, but if it could be some negative impact and some certainly some M&A opportunity.
Feddie Strickland: Got you. And just one last one for me, and I'll step back in the queue. It sounds like margin -- given your guidance margins should come up in the fourth quarter, does it seem like there can be some incremental margin growth going into early 2023 if we get a couple of additional rate hikes? It seems like that's what Ron was alluding to earlier.
Billy Carroll: Yes. And let me add a little color and then, Ron, you jump in. And I do think, Feddie, I do think that's probably been a little bit of the gap maybe between some of the analyst numbers and some of ours. I do think our loan yields are coming along really well. I do think the first couple of rate hikes, we still have loans in the pipeline at slightly -- rates slightly below where the market was at the time that had to get on the book. So I think our loan yields were lagging a little bit for a few months. but you're really starting to see those catch up now. And as we reset, Ron alluded to, our variable rate loans, we'll have more of those as those reset at different quarters. We do think that the loan yields will continue to show positive momentum over the next bit. So I do think that -- I think that's a really important piece of our equation right now. It's something I'm -- obviously, you picked up on it. I think it's something important to note.
Ron Gorczynski: Yes. And to further that, as long as we can deposit competition, as we alluded to, has been pretty significant as long as we keep our loan -- our deposit beta is down in that higher 20% range sort of range, yes, we definitely will have a margin expansion going into 2023.
Feddie Strickland: And just to the other analyst day, it didn't say anything. So just queue and just and see if it works.
Miller Welborn: So we're seeing them queue up. So I think we have next...
Ron Gorczynski: Kevin Fitzsimmons.
Miller Welborn: Kevin , are you on the phone?
Ron Gorczynski: Kevin is on the line. I'll open his line now.
Kevin Fitzsimmons: Deposit levels, that's obviously something that's changing here in the environment for banks, and we've seen deposit levels come down for the banks somewhat some of it deliberately and some but not so much. But just maybe if you can give your outlook looking over the next several quarters of what you think that loan-to-deposit ratio will do. It seems like you still have a lot of flexibility with it being at 72%. But as we look I don't know what kind of time frame you want to look at. But if you look at over the course of the next, call it, four or five quarters, where can you see that going? And does that assume you keep -- managed to keep deposits flattish, like you did this quarter? Or do you let -- should we expect deposit levels to bleed lower going forward?
Billy Carroll: Yes. I'll start and then guys, feel free to chime in. Yes, I think -- I feel like that you'll see that deposit ratio edged up a little bit. And really just because given the flexibility that we do have with the liquidity. We're going to continue to, as Ron alluded to, stay aggressive enough in our markets that we're keeping core business. But if we need to let a little bit of noncore run out because it's the right thing to do from a margin standpoint. We'll be open to that. So Kevin, I think you'll see that number probably continue to probably creep maybe slowly over the next little bit. And I think that's the right approach for us. The great thing about it, Ron and I were talking about the used is we're diving into the numbers. The new teams that we've added over the course of the last year, the growth that they've had on the deposit side has been outstanding. Loan side has been really good, but deposits have been probably better than we had anticipated. And I think you can see that continuing. We've put a lot of efforts into our treasury program. So our recruitment of more deposit based especially checking business is something that's really important to us. So I think you're going to see our deposit generation work continue, but we'll also probably -- while that's adding we'll probably let some higher rate stuff rolls. So I think at the end of the day, we probably still kind of have a flattish forecast for deposits. but continuing to try to hold that number down as far as rate increases. So Ron, any color or Nick, anything you guys you all have anything?
Ron Gorczynski: Yes, we will incrementally go higher, but we -- as Billy had said, recombining with the lift-outs, we knew they were deposit gatherers and they did shine in the third quarter for us, showing that yes, indeed, they can gather deposits.
Billy Carroll: And good deposits.
Ron Gorczynski: And good deposits. And we expect that to -- we have modeled a little slight decrease in our deposits 1% or 2%, 3%. I'm not sure we'll have that, but we did model it. But again, yes, that loan-to-deposit ratio will incrementally creep up as we go.
Kevin Fitzsimmons: Okay. And maybe this is more kind of a top-level question. I believe in the last quarter or 2, Billy, you've talked about that you guys have been very active in adding talent. And so obviously, that has expenses attached to it immediately and then the revenues come later and that the near-term priority is really going to be about demonstrating improved profitability. And so it had the kind of implication that you guys, while always being opportunistic, you were not in so much the investing mode, but the delivering bottom line profitability mode. Where do you say you are on that front today?
Billy Carroll: Kevin, I'd say we're probably in middle innings on that. I think we have, I mean you look at the results. I mean, we've demonstrated -- I mean if you look at the revenue growth, look at the EPS growth, efficiency ratio continuing to tick down. Again, our focus is more again kind of another baseball analogy since we're in the middle of the playoffs. We're singles and doubles and just continuing to grind this thing higher. So I love where we're sitting. I do think we're in kind of middle innings. I do think there's upside to the investments that we've made. But we're also going to continue to invest in talent if those opportunities pop up. So that's kind of my take. I don't know if you guys have any other comments. Ron, anything from you?
Ron Gorczynski: Yes. One thing that's happened over the last several quarters is that we truly have core revenue. We've lost our PPP fee. The accretion has dwindled down. We're really a core revenue shop at this point and the growth, and it's been pretty amazing for us. So yes, I think it's more good things to come as we go forward.
Billy Carroll: Yes and Ron, I think that is -- Kevin, I think that's a great point that our audience needs to know. When you really look at our numbers, we've always figured out a way to make a decent return, but a lot -- some of that's been various different income items, some of it not as core. This thing is really starting to get a really strong core engine going. So that's the reason I love where we're going. I think we can continue to just incrementally move better from a metric standpoint from here. And I think we've got some great upside.
Operator: We take our next question from Catherine Mealor of KBW.
Catherine Mealor: I just had a follow-up question on the margin. When you mentioned the 25% beta for 4Q, you're saying that the quarterly beta. And is that on -- and that's on total deposits, not just interest-bearing deposits?
Ron Gorczynski: They would be, the nonmaturity deposits, not the total deposits. And I think our -- the beta itself in total will wind up to 25% throughout. I think the model -- what we're expecting through the model is probably closer to 30% for the quarter. But the whole -- from beginning of March, we should be in that 24%, 25% range.
Catherine Mealor: Got it. On more of a cumulative basis?
Ron Gorczynski: Yes, yes.
Catherine Mealor: Okay. That makes sense. Okay. Cool. I just want to make sure that we were line in that guidance. Okay. That's great. And then the on the loan yields, too, you said your loan yields were 4.66% at the end of September 1. I mean it get to this kind for 3.40% number for the margin, I kind of see an acceleration in your loan yields as early as this quarter more so than kind of a next year thing. Is that a fair assessment?
Ron Gorczynski: Yes. We're probably -- for the 3.40% margin, we think our loan yields probably should be in the 4.90% range Againe, we -- our pipeline we had a lot of -- Yes, we're on -- yes, you're good.
Catherine Mealor: Okay. That makes sense. Okay. Great. Let me sure I'm thinking about that right. And then as you think about expense growth for next year, how are you kind of thinking about the pace and which we'll see expenses grow maybe kind of relative to the revenue and potential positive operating leverage that we'll see as we move into next year?
Ron Gorczynski: Well, at this point, we haven't we haven't -- we're still in the middle of our forecasting for next year, and there's a lot of moving pieces, obviously, probably see a mid-single-digit expense growth range and probably an upper single-digit revenue -- net interest income range. And that, again, we're not really giving guidance on that. We're still working through the pieces of that, Catherine.
Catherine Mealor: Great. It's still an environment where you think you can grow total revenue at a faster pace than you can grow expenses. .
Ron Gorczynski: Oh, yes. Oh, definitely, yes.
Operator: [Operator Instructions] Our next question is from Stephen Scouten of Piper Sandler.
Stephen Scouten: I just wanted to dig in on Catherine's last question there a little further. If you talk about positive operating leverage in '23, is that possibly you think even after rate hikes are finished, say, we get to 2Q, '23 and beyond, you still think you can deliver positive operating leverage even without the help of higher rates?
Billy Carroll: I do, Stephen. I think for us, a lot of it is just going to be a factor of growth. Again, that's one thing. As Ron said it because we've talked about it, I mean, we're running models. I guess the question is growth. What does growth do with an environment where you might have a 5% or higher Fed terminal rate. So I do think given where we see rates are today, kind of where the forecast is today, we do think we can see that even when rates settle down a little bit. Obviously, we need to grow, but that's the reason we're really putting a lot of emphasis on some of these other fee lines, things that are not as rate sensitive. And obviously, if we get a little bit of a slowdown in the top line, I think we can actually -- we can slow the expense side down a little bit if needed to. So I think we're building in some room for some additional hires and in some additional team members as we look into next year to add more revenue producers. But even in an environment where we do think the Fed settles out, we can still gain some leverage.
Stephen Scouten: Okay. That's helpful. And then you guys gave great color on the deposit betas there. How should we think about like a loan beta, if you will, relative to the 22% variable rate loan book? And just kind of how we should think about the upside there other than the 4.90% number, Ron, you gave?
Ron Gorczynski: Yes. Going forward, loan betas seem to be a little bit more trickier to figure out the deposit betas. I think we're running the betas around 19% to 20%. So I would say that's to date. I think it would probably I would probably keep that. I don't know it's going to accelerate more. But again, we are getting higher rates. So maybe my man back track, and we probably should see a little bit higher beta as our new production pipeline, which we're getting now what we're seeing now in the 6 handles, we'll accelerate that. So I would probably go to mid-20s with that.
Stephen Scouten: Okay. Great. And then just last thing for me. Kind of how you're thinking about the loan locks observed moving forward, potential recessionary scenarios, CECL kind of what that could do to your reserve and where you think it could be most sensitive to? Is that going to be like an unemployment factor or where the sensitivity would be to reserve levels moving forward?
Ron Gorczynski: Great question. As you know, we're on the incurred loss model. We will be adopting CECL at 1/1. To date, we completed our third parallel run. Our CECL model has been validated. So we are ready to implement on 1/1. For day one, we're expecting to really have an immaterial day 1 event. We are carrying a lot of fair value marks that will help with the build of the ACLs. Not knowing what the future brings because it's so uncertain, we think maybe 30% increase in provisioning going forward with the CECL model going into 2023. Other than that, really -- and that's just not guidance, just kind of an update at this point. there's too many moving pieces as we implement to kind of get a number in hand of where we think we're going to be. as we know, every couple of weeks, something else changes. But that's kind of where we're at, at this point. So roughly around the 30%-ish area, the provisioning should increase for the new loan growth.
Stephen Scouten: And Billy, as far as I'm concerned, the baseball playoffs ended about 1.5 weeks ago, so not sure about that rate.
Billy Carroll: I know. That part of it.
Ron Gorczynski: We agree, too.
Operator: Our next question comes from Matt Olney of Stephens Inc.
Unidentified Analyst: This is actually Jordan [ph] on for Matt. All my questions have been answered except I was wondering if you could give a little bit more color on the security balances. Kind of what are your expectations for 4Q, maybe in 2023 kind of -- and maybe what the new purchases and the yields are coming on at?
Ron Gorczynski: Yes. Billy, I'll get that. Yes, at this point, we're not doing any new security purchases. We're kind of just taking advantage of the cash position. We don't -- we're getting back $3 million to $4 million of principal a month. And we probably want to win ourselves back down to target we want to be at the cash and security level around 20%. We're currently at 28%. So I think over time, we'll wean that back down. But the short answer is we're not purchasing any securities at this point of time. new securities to the book.
Operator: We have no further questions in the queue. So I'll hand it back to Miller.
Miller Welborn: Thank you very much. Again, thanks to each of you for joining us today, as always. If you have any additional questions, reach out to us directly. We appreciate your interest in the bank and thanks for joining us today. Have a great day.
Operator: This concludes today's conference call, ladies and gentlemen. Thank you for joining us. You may now disconnect your lines.